Operator: Thank you for standing by. Welcome to the Ontrak Health Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I’d like to introduce your host for today’s program, Ryan Halsted, Investor Relations. Please go ahead sir.
Ryan Halsted: Thank you, operator and thank you, all for participating in today's call. Joining the call, are Brandon LaVerne, Chief Executive Officer; Chief Operating Officer; Mary Lou Osborne, President and Chief Commercial Officer; and James Park, Chief Financial Officer. Earlier today, Ontrak released financial results for the quarter ended September 30, 2024. A copy of the press release is available on the company's website. Before we begin, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believes, estimates, expects, intends, guidance, confidence, targets, projects and some other expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance, but may involve and are subject to certain risks and uncertainties, other factors that may affect Ontrak's business, financial condition and other operating results, which include but are not limited to the risk factors described in the Risk Factors section of the Form 10-K and Form 10-Q as filed with the SEC. Therefore, actual outcomes and results may differ materially from those expressed or implied by these forward-looking statements. Ontrak expressly disclaims any intent or obligation to update these forward-looking statements. With that, I'd like to turn the call over to Brandon.
Brandon LaVerne: Thank you, Ryan and thank you everyone for being on our call today. I'd like to start by sharing some exciting news with respect to our newest customer expansion for Sentara Health Plans offering our Engage solution to approximately 20,000 planned members. This expansion includes a Specialized Care Coaching Program designed for members showing rising health risks. This program aims to support their physical and behavioral health needs, bridging the gap for those who may not yet qualify for our more intensive full WholeHealth+ intervention, but still require proactive care management. Our Engage Solution can be offered to members across multiple lines of businesses, including Medicaid HARP, Medicare Advantage and Commercial. Once identified, members are proactively engaged through a unique blend of human interaction, and augmented intelligence and offered personalized care coaching support. Our customers enjoy a seamless expansion of the target membership population on top of the WholeHealth+ outreach pool. Collectively, we have now secured two new regional health plan customers and four health plan expansions since January of this year, expanding the range of plan types including Medicaid, HARP, Commercial and a Marketplace showcasing the versatility of our offerings, which include WholeHealth+ Engage and our new quality solution. We are enthusiastic about the tremendous progress we are making with our multiple product offerings and believe activity in our pipeline is accelerating, bringing prospects further down the funnel and faster. James will highlight the positive impact to our revenues of these new launches. Overall, our pipeline continues to build momentum as Mary Lou will discuss in more detail, existing prospects are progressing nicely through the sales cycle, as we continue to build the top of the funnel as well as bring those near the bottom closer to a signature. The demonstrable clinical improvements and cost savings our programs achieved are resonating strongly with both our existing clients and potential partners, as well as the members they serve. As James will describe shortly, the opportunities at the bottom of our sales funnel represent a significant inflection in our growth going forward. Several macro trends are driving demand for our services and currently acting as tailwinds for Ontrak’s growth. Many Medicaid plans continue to navigate elevated medical cost trends, while facing funding challenges as they deal with the fallout of redeterminations post-pandemic, Our solutions helps address these problems for our customers, including reducing elevated cost for members, maintaining strong member engagement and retention for the health plan, and obtaining new diagnosis to improve risk scoring. Building on this tailwind, I want to highlight Ontrak’s significant impact on coding HEDIS measure gaps for our health plan partners. There's an increasing emphasis on quality metrics, particularly HEDIS scores, which directly impact plan ratings and reimbursements. By leveraging our AI-driven engagement system, we are achieving a greater than 50% outreach success rate, more than double what we believe to be the industry standard. The enhanced engagement and resulting gap closure has a direct impact on HEDIS scores for our clients. With our current customer expansions, we are seeing first-hand how our solutions help health plans meet and exceed their HEDIS targets. In an area where quality metrics increase in the impact reimbursement and plan ratings, Ontrak’s ability to efficiently close HEDIS gaps is becoming a key differentiator. Now I'd like to turn the call over to Mary Lou Osborne, our President and Chief Commercial Officer, who will speak more about our pipeline progress.
Mary Lou Osborne: Thanks, Brandon. I'm thrilled to have previously announced the signing of a new customer, a large health plan in the Northeast region, representing multiple lines of business, including Medicaid, HARP and Commercial for WholeHealth+. This new health Plan customer has recently given us the green light to expand services to include Ontrak’s quality solutions to help close over 30,000 HEDIS gaps in care. The launch of both solutions is progressing well with high reach and enrollment rates that are above industry standards. With our continued focus on strategic growth and innovation, as evidenced by our recent announcements regarding the mental health digital twin, our adoption of the comprehensive healthcare integration framework and powered by our advanced engagement system, Ontrak is poised for continued momentum. Currently, we have four active prospects in the late-stage of our sales cycle, which consists of two new customers and two current customer expansions. These health plan prospects are interested in a partnership and have agreed to proceed to the next step of reviewing financial and contractual terms. One of these new customer prospects is a prominent healthcare system in the West with 80,000 Medicare Advantage lives to start our engagement. This prospect has verbally agreed to all major terms to move forward and we expect to receive their mark-up of our statement of work by next week. With this prospect, once clinical and financial outcomes are achieved for the initial population, the intent is to expand the partnership to a larger membership cohort across multiple lines of business, representing an opportunity over one million lives. The second new customer prospect is a large Blues plan in the Midwest with over 400,000 Medicaid lives and is interested in WholeHealth+, as well as our Engage Solution. The two current customer expansions include one for WholeHealth+ for several new regions and the other for our Engage Solution for a new government line of business. Our total pipeline continues to build momentum in addition to the four opportunities, I just described. We also have 26 additional active prospects representing approximately 15 million planned lives. And now I'd like to turn the call over to our Chief Financial Officer, James Park.
James Park : Thanks, Mary Lou. In Q3, our revenue reached $2.6 million, reflecting a 31% decrease, compared to the same period last year. The decrease was due to the loss of a customer at the beginning of the current year. We began the quarter with 1,752 members and concluded with 2,065 resulting in a simple average of 1,909, which includes 56 members that are part of our Engage program. Our quarterly revenue per health plan enrolled member per month average approximately $449. This represents a decrease from $462 in Q2 of 2024 and from $552 in Q3 of 2023. The primary factor contributing to this decline is due to the mix shift resulting from newer customers with different pricing structures and the inclusion of new Engage members with a lower revenue per member per month. As discussed in prior quarters, as we have gained efficiencies in our operations, we have worked with customers with flexible and value-based pricing structures, while maintaining reasonably consistent margins. As we move through the rest of the year, we anticipate our per member per month revenue continue to decrease, compared to last year. Regarding our Q3 membership data, we added 1,166 new members during the quarter. This figure contrast with 881 new enrollments in Q2 of 2024 and 1,272 in Q3 of 2023. Dividing Q3 gross enrollments by our outreach pool, which average 7,267 for the quarter, it annualizes to a 64% enrollment rate, compared to 61% enrollment rate in Q2 of 2024 and 50% in Q3 of 2023. The increase is due to the enrollments of new members from our new customer that we announced in August, as we experienced higher enrollment rate for any new customers we launch. In the current quarter, our average monthly disenrollment rates stood at 11%, compared to 10% in Q2 of 2024 and 11% in Q3 of 2023. Additionally, we saw 169 enrolled members graduate from our program this quarter. This graduation rate represents approximately 10% of the members enrolled at the beginning of the quarter, which is consistent with prior periods. Taking it to account, new enrollments, disenrollments and graduations, we achieved a net increase of 313 members during the quarter. For Q3, we achieved a gross margin of 62%. This represents a decrease from 65.6% recorded in Q2 of 2024 and 72% margin in Q3 of last year. Looking ahead, we anticipate our gross margin to maintain their current levels. However, we may experience slight decreases during periods when we initiate new customer expansions. This is due to our practice of proactively hiring member-facing employees and preparation for these expansions. Turning to the balance sheet and cash flow statement. Our operating cash flow for Q3 showed a negative $1.4 million. This compares to a negative $1.8 million in the same quarter last year and negative $4.5 million in Q2 of 2024. As of the quarter end, our cash reserves stood at at $8 million. This represents a decrease from the $9.7 million we had on hand at the conclusion of the previous year. During the quarter and subsequent to quarter end, we drew down a total of $3.5 million demand notes, leading $7 million available for future draws subject to approval. In addition, subsequent to quarter end, we received cash proceeds of $1.5 million from the exercise of warrants. Thinking about revenues ahead, our current customers under contract now account for approximately $11 million to $13 million of annual revenue, which includes an approximate 20% increase into the expansion announced last week. Before opportunities at the bottom of the funnel that Mary Lou mentioned are significant and represent approximately $9 million to $12 million of additional annual revenue for a 75% to a 100% increase from our current customers under contract. Specifically for Q4 2024, we anticipate revenues in the range of $2.9 million and $3.2 million for a 12% to 23% sequential increase as we continue launching new outreach to members of our newest customer in the Northeast and launched the Engage Solution expansion announced last week. Now, we will open it up for questions. Thank you.
Operator: And this does conclude the question and answer session of today's program. I’d now like to hand the program back to Brandon for any further remarks.
Brandon LaVerne : Thank you, Jonathan, and thank you, all for joining on our call today. Have a great afternoon.
Operator: Thank you, ladies and gentlemen for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.